Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to the Calyxt, Inc. First Quarter, 2021 Earnings Conference Call. During today's presentation all parties will be in a listen-only mode. Following the presentation, the conference will be open for questions [Operator Instructions] This conference is being recorded today, May 6, 2021. At this time, I would like to turn the conference over to Chris Tyson, Executive Vice President of MZ North America, Calyxt's Investor Relations Firm. Please go ahead, sir.
Chris Tyson: Thank you, and good afternoon. I would like to thank you all for taking time to join us for Calyxt's first quarter 2021 financial results conference call. Your hosts today are Bill Koschak, Chief Financial Officer; Dr. Yves Ribeill, Executive Chair of the Board. A press release detailing these results crossed the wires after market closed today and is available on the company's website, calyxt.com. Before we begin the formal presentation, I'd like to remind everyone that statements made on the call and webcast, including those regarding future financial results and future operational goals and industry prospects are forward-looking and may be subject to a number of risks and uncertainties that could cause actual results to differ materially from those described in the call. Please refer to the company's SEC filings for a list of associated risks. This presentation also includes a discussion of adjusted gross margin, net loss, net loss per share and EBITDA. All are non-GAAP financial measures. In Calyxt's press release and its filings with the SEC, each of which is posted on the company's website at calyxt.com, you will find additional disclosure regarding these non-GAAP. Reference to these non-GAAP financial measures should be considered in addition to GAAP financial measures and should not be considered a substitute for results that are presented in accordance with GAAP. Finally, this conference call is being webcast. The webcast link is available on the Investor Relations section of calyxt.com. At this time, I would like to turn the call over to Calyxt's Chief Financial Officer, Bill Koschak.
Bill Koschak: Thank you, Chris, and thank you for joining us today for our first quarter conference call. The first four months of 2021 included several accomplishments by our great team of scientists, combined with continued execution of the transition of our soybean product line. I'd like to begin by congratulating Sarah Reiter, on her promotion to Chief Business Officer. She has made great contributions since she joined Calyxt in October 2020. Well done, Sarah, and I look forward to working with you in this expanded role. Initial testing of our next-generation premium high oleic, low linolenic soybean oil trait has exceeded industry performance targets expected in the premium oil segment. This achievement is a significant improvement from our first soybean product. Preliminary composition analysis indicates that our next-generation soybean trait is expected to have among the highest levels of heart-healthy oleic acid and ultra-low levels of linolenic acid of any premium oil, substantially on par with high oleic sunflower oil. We are excited by these results and expect high performance in terms of desirable fatty acid profile, improved stability, increased shelf life and reduced polymerization. This trait should be ready for commercial planting as soon as 2023. For commercialization, we are seeking to partner with elite soybean companies to introduce this trait through their premium seeds as a compelling alternative to commodity soybean and other premium oils. Our scientists have transformed the hemp genome, demonstrating the ability to engineer hemp in a manner that can be used to unlock capabilities in order to selectively breed and deliver improvements in hemp traits. Historically, hemp has been a particularly difficult crop to transform. It is non-domesticated and fully adapted for broad-acre production. The new hemp transformation technology we developed is enabling our team to overcome the technical hurdles presented by hemp. Using our transformation tools we'll enable hemp breeders and scientists to select plant characteristics that may contribute to the establishment of hemp as a modern, stable and valuable broad-acre crop. We expect this accomplishment to accelerate hemp development. By modernizing the hemp crop, we can now deliver traits that benefit both growers and consumers who are increasingly looking for plant-based and sustainable foods, material, cosmeceuticals, nutraceuticals and more. First of these traits is expected to be available for commercial planting as soon as 2023. Also shortly after quarter end, we executed a new seed sale agreement with an affiliate of a grains [ph] customer of ours. And as of today, we have sold more than 50% of the 2020 grain crop to ADM with the remaining grain projected to be sold to ADM throughout 2021. And finally, during the first quarter, we also made initial appointments of world-renowned plant biochemistry experts to our Scientific Advisory Board. The SAB reports to our Board of Directors and is chaired by our Co-Founder, Dan Voytas. Other appointees include Anne Osbourn from the John Innes Centre; Elizabeth Sattely, an Associate Professor of Chemical Engineering at Stanford; and Paul Bernasconi, a former Head of Molecular Biology at BASF. The SAB will focus on identification of high-value plant-derived products for development and commercialization using our proprietary innovation platform. We have eight projects in later-stage development, including two in Phase 3. We are targeting having at least five product candidates available to begin commercial planting between now and the end of 2024. During the quarter, we stopped development of our improved oil, HOLL product, which was being developed with a target of higher HOLL oil content. This product is being developed to reduce our cost per pound of oil under our prior go-to-market strategy. We also determined to pursue trade development and licensing arrangements as our baseline go-to-market strategy. While we opportunistically engage in alternative arrangements, our intention is to license oil products under development as traits. We intend to move our current high oleic soybean product to this go-to-market strategy in 2022 and are currently in discussions with potential licensors. This transition further reduces the capital requirements for these products and is expected to drive high-margin royalty revenue streams when those traits are commercialized by the licensors in future years. Today, we issued a press release describing our first quarter 2021 results, and we also filed our Form 10-Q this evening. Revenue was $4.4 million in the first quarter of 2021, an increase of $2 million or 85% from the first quarter of 2020. The increase was driven by sales of a portion of the 2020 grain crop as compared to the first quarter of 2020 when we were selling soybean oil and meal. As of March 31, 2021, we've sold over 50% of the 2020 grain crop. Gross margin was a negative $2.3 million or negative 53% in the first quarter of 2021 compared to negative $1.5 million or negative 63% in the first quarter of 2020. Adjusted gross margin, a non-GAAP measure, was negative $1.3 million or negative 31% in the first quarter of 2021 compared to negative $1.2 million or negative 49% in the first quarter of 2020. The improvement on a percentage basis was driven by benefits resulting from the advancement of our soybean product line go-to-market strategy. Total operating expenses were $7.3 million in the first quarter of 2021, a decrease of $1.8 million or 20% from $9.1 million in the first quarter of 2020. The decrease was driven by lower personnel costs as a result of cost reductions following the advancement of the go-to-market strategy for our soybean product line as well as other reductions in cash expenses from the first quarter of 2020. Net loss was $10 million in the first quarter of 2021, an improvement of $1 million or 9% from the first quarter of 2020. Net loss per share was $0.27 in the first quarter of 2021, an improvement of $0.07 per share or 21% from the first quarter of 2020. Adjusted net loss was $8.8 million in the first quarter of 2021, an improvement of $2 million or 18% from the first quarter of 2020. The improvement in adjusted net loss was driven by the improvement in adjusted gross margin and cost reductions from the advancement of our soybean product line go-to-market strategy and other reductions in operating expenses. Adjusted net loss per share was $0.24 in the first quarter of 2021, an improvement of $0.09 per share or 27% in the first quarter of 2020. The improvement in adjusted net loss per share was driven by the change in adjusted net loss. Adjusted EBITDA loss was $6.8 million in the first quarter of 2021, an improvement of $1.4 million or 17% from the first quarter of 2020. The change was driven by the improvement in adjusted gross margin and cost reductions from the advancement of our soybean product line go-to-market strategy and other reductions in operating expenses. Our earnings materials, which are posted on our website, provide important context about the non-GAAP measures we report and include reconciliations of these measures to the most comparable GAAP measure. Net cash used in the first quarter of 2021 improved by $50.3 million compared to the first quarter of 2020. The improvement was driven by changes in purchases and sales of short-term investments of $47.3 million and a $2.8 million improvement in net cash used by operating activities, primarily the result of improvements in net loss and working capital. In the first quarter of 2020, we invested cash and cash equivalents and short-term investments diversify our counterparty credit risk. From a cash perspective, the first quarter of 2021 was highlighted by the significant progress we made selling grain, managing grower deliveries to best match demand and reducing our operating expenses below last year and staying on track to achieve our cash operating expense annual target of $25 million or less. We believe these actions will be enough to fund our operations for at least the next 12 months and into the second half of 2022. Subsequent to the quarter end, we were notified by the Small Business Administration that the full amount of our Paycheck Protection Program loan has been forgiven. We expect to record income in the second quarter of 2021 for the full amount of the loan and the associated accrued interest. I'd now like to turn the call over to Dr. Yves Ribeill, our Executive Chair, for his concluding remarks. Yves?
Yves Ribeill: Thank you, Bill. The first four months of 2021 included several exciting developments in our laboratory. The promotion of Sarah Reiter to Chief Business Officer and the formation of our Scientific Advisory Board. The SAB provide us with scientific and technical expertise for us to leverage and grow the business in new directions. And we'll explore opportunities in plant-derived ingredients for therapeutic, cosmetic, advanced material, fragrance, flavoring, colorants and more. The SAB will seek to identify both near-term opportunities and long-term technological breakthroughs, some of which we may look to realize through partnership. Our R&D team continue to innovate by identifying and unlocking high-value plant-based products and metabolites for the use of Calyxt proprietary systems and advanced analytics platform that build upon the learning from our first edited product. Our HOLL soybean received favorable testing results on its fatty acid profile. I'm especially pleased with our successful transformation of the hemp genome, enabling future advancements like trade delivery, gene editing and advanced plant breeding. This development underscores our ability to quickly discover, understand and harness the potential of complex planned biological pathway to deliver the next generation of plant-based solutions. We look forward to sharing more about this advancement later this year. The promotion of Sarah Reiter to Chief Business Officer is in recognition of her strong contribution to the business in her first six months with the organization. In this role, she will be responsible for all business activities of the company, including finding partners for the development and commercialization of our trade and product. And she will also be responsible for communications activities, including corporate communications, public relation and product marketing, so a big congratulation to Sarah. I would like to close with a few comments on our ongoing CEO search. In our last call, we announced the transition of my role to Executive Chair. Day-to-day, I am supported in leading Calyxt by this dedicated team of executives. Our search committee, which I lead, has been active in training candidates, and while it is too soon to comment on the ultimate hiring of our new CEO, we are making good progress towards a successful completion. There are many exciting developments taking place at Calyxt. And as I said in our year-end earnings call, we are becoming the source of power that generates plant-based ingredient for innovative products. These products will meet emerging customer needs across a variety of growth sectors, all while improving health, ensuring environmental sustainability and addressing climate change. This is the dream and the vision of Calyxt. Operator, that concludes our prepared remarks, please open the line for questions. Thank you.
Operator: Thank you [Operator Instructions] Our first question comes from the line of Amit Dayal with Wainwright.
Amit Dayal: Thank you, good afternoon everyone. Just to begin with, if you could clarify for us. Are you stopping seed sales only for HOLL or does this apply to other products also?
Bill Koschak: Good afternoon and good question, Amit. So we are going to continue selling seeds for our HO product in 2021. And then for all products, including HO as we move forward, we intend to move to a trait go-to-market strategy.
Amit Dayal: So in terms of sort of your efforts to just make this alone royalty-based license-based, I know you promoted Sarah to head the BD side of things. What other sort of efforts can we sort of anticipate as you transition towards more of a licensing-based model versus a seed-based model?
Bill Koschak: I think you'll continue to see us do more of the same. The promotion of Sarah is a great - as we said - is a great recognition of what she's done. We have a tremendous number of licensing opportunities in front of us for all the products that are in our pipeline that we've disclosed as well as in response to a couple of the press releases that we've made related to the advancements of our technology, especially what we've done in hemp. We've got a lot of inbound interest, the accomplishment that we announced in hemp. Our ability to transform it opens up the opportunity for many people, including us, if you want to work with us to make advancements in that crop. The transformation ability we've developed is key to editing that crop and performing other advanced breeding techniques. And from our perspective, we believe it unlocks new markets that were previously unavailable, including advanced materials and other complicated or complex plant-based inputs that are more sustainable than the alternatives that are currently in use.
Amit Dayal: Okay, understood. And in terms of your earliest planting time line, is 2023 sort of the targeted - the target time line for 2023 for the new soybean product, is that possible earlier than that or is it dependent on certain other factors, which is pushing you out to 2023?
Bill Koschak: I think 2023 is a good benchmark. It's what our target has been for some time in the table that you're referring to. There're maybe things that could accelerate it, but I think I would stick with 2023 for HOLL coming as a product. HO will continue until it is taken over by HOLL in 2023.
Amit Dayal: Okay understood. And in terms of operating costs, your cash burn, et cetera, could you give us any clarity on how many quarters you have with the current balance sheet?
Bill Koschak: You bet. So we ended the quarter, as I said with $20.4 million in cash. We made significant progress in the quarter converting our grain inventory to cash, and we expect to continue that through the year. We're managing our growers to best match demand. And we've been very focused on reducing our operating expenses. When you take those elements of what we've been doing and combine that - with cash flows that we anticipate from the business development activity associated with the licensing of our technology and trait developments that we'll continue to progress on, we believe that our cash is sufficient to fund our operations for at least the next 12 months and into the second half of 2022.
Amit Dayal: Okay and just one last one from me. In terms of catalysts outside of maybe completing your CEO search, are there any near-term milestones we should be looking out for?
Bill Koschak: From my perspective, and I'll let Yves sort of weigh in on this one as well. As we look forward, certainly completing that search is an important one. From a business perspective, the milestones that we look for would be getting to letters of intent or memorandums of understanding, whatever we want to - the legal term you want to put on them with our partners as we think about bringing these development projects that we've had or products that we've had to a close and getting somebody signed up to be our partner. And in the case of soybeans is one of the things that we expect to go and do is work with some large elite soybean seed companies to - in our HOLL [ph] trait into their germplasm, which could be wonderful for us. And so those are the types of things that I would look for. As we've talked about in the past, there's still - those things are still true today.
Yves Ribeill: And I would agree with what you said, Bill. The first three main important steps are obviously the CEO search and the incoming of the CEO in the company. The second one is to announce some partnership on some other products that we have presented to you. And I'll also add to what was said, the SAB coming with eventually new products that we'll be able to disclose as being probably the third area that we could announce relatively quickly.
Amit Dayal: Understood thank you for that, yes that's all I have guys. Appreciate it, thank you.
Yves Ribeill: Thank you.
Bill Koschak: Thanks, Amit.
Operator: Our next question comes from the line of Bobby Burleson with Canaccord. Please proceed with your question.
Bobby Burleson: Hi thanks for taking my questions. So I guess, the first one is just, if you had to kind of rank your target commercial planting opportunities for 2023, is it kind of in the order that you have in the presentation? And is that why wheat is in a different color than soybean and hemp? And I'm talking about like just ranked in terms of risk-adjusted most likely?
Bill Koschak: Right, great question Bobby, and good to talk to you today. From our perspective, they're not listed in terms of priority order - they're on the page it is based on how we chose to group them from a crop perspective more than anything. The one that we are most confident from a liability perspective is the soybean, the HOLL soybean. When we made the announcement about earlier, and then followed closely by the hemp trait that we expect to have available in 2023 as well. As wheat is first because it's always been - we've always listed things as HO, alfalfa and then that wheat product from the time of our IPO - it's as simple as that.
Bobby Burleson: Okay great. And the way that you were presenting these opportunities a few months ago, there was some optionality, I guess, between seed sales and trait licensing and now you're exclusively looking at the licensing portion going forward. Are there any cost savings when you remove that optionality, any additional headcount reductions associated with eliminating the seed sale part of the plan?
Bill Koschak: Great question and from our perspective, we run a really lean organization. So no, our expectation isn't that we would have any cost savings from a seed handling perspective, right. We still need to do some work to get the enough foundational seed over to our trait licenser, right. So with the lean team we have, it's too early to tell, but I don't think at this point we would expect anything. At the same time, the cost avoidance is significant because we know what we would have to incur to scale up that level of personnel if we were to turn this into a really large seed business. Also bigger than that alleviates a working capital need that the company has, and that's where the real money is. If you think about the cost per acre from a working capital perspective is essentially one times COGS and we avoid that going forward. So that is the beauty of moving to the trade model. It drives free cash flow much, much sooner than we would get to, if you think about it on a per acre basis than if we were going down - the seed path.
Bobby Burleson: And then if we - last one from me for now. If we look at what you announced in alfalfa with S&W, and what you're anticipating or excited about in soybean with HO soybean? Are we talking about orders of magnitude, larger type of licensing and royalty opportunity with soybean in terms of what you might announce?
Bill Koschak: That is our expectation. In this order of magnitude of the size of the two crops, it's obviously very different the - that particular small segment of the alfalfa crop that are improved forage, the quality goes into is the 30%-ish of the alfalfa crop is what the current size of that market is. We'd expect our HOLL soybean given its high-quality performance versus industry expectations from a fatty acid profile perspective to be something that would capture thus far [ph] in terms of dollar value or much greater dollar value, many times over, like you just described from - when you compare the two. So definitely be much bigger than alfalfa, if you think about it from that perspective, what the opportunity is.
Bobby Burleson: If I could just sneak one more in here, so as you expand your licensing, obviously, this is on the TALEN's platform and you've talked about a technology licensing opportunity as well, is there - is this kind of a proving ground or an enticement of sorts to maybe get some folks pursuing a technology license to develop their own traits?
Bill Koschak: One of our strategies has been to be very selective in how we do this, but we're definitely open to it, have been and will be going forward. I think moving in more to a pure licensing company where we license traits or technology that makes a lot of sense. It drives our margins to be high. Our working capital needs to be low. And our path to profitability as a company becomes - for us, much clearer, I think. And so, as we think about the licensing of the technology, sure, it could be TALEN, but we're working all the time and filing patents to expand our footprint. And develop things that may push TALEN to be less important than it is today to the organization. And those types of advancements would be things that we don't - somebody else could love [ph] you to leverage as well. And so as we think about this, there's a broad array of patents that we have and ones that we filed for that we continue to expand upon, and that's what excites us about the technology and the advancements that we are making in our labs.
Bobby Burleson: And are you - just can you remind us whether or not you're doing anything with epigenetics? Is that an area where you guys are filing patents or pursuing developments of any kind?
Bill Koschak: On that one, Bobby - my view is no, we're not, but I'll throw it over to Yves, and it's not a term that we've talked about.
Yves Ribeill: We obviously look at it. But I mean, again, I prefer to leave that to my CTO to be able to respond the next time, but it's a good question indeed.
Bobby Burleson: Okay great, thank you.
Yves Ribeill: Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Laurence Alexander with Jefferies. Please proceed with your question.
Daniel Rizzo: Hi everyone it's Dan Rizzo on for Laurence. How are you?
Bill Koschak: Good, how are you?
Daniel Rizzo: Good, good. So how should we think about working capital in the coming quarters and years as the strategy shifts? I mean I think it was running roughly $6 million a quarter last year outflow [ph]. I was wondering if that's what we should expect maybe this year and then improve as the licensing takes off or just how we should - model it basically?
Bill Koschak: Right, so really good question Dan, I think from our perspective, we've been a user of working capital, right. It's been - generally been a use of cash as opposed to the source of cash. And I think you'll see that transform as we look forward. We'd expect that as we exit this year, knowing that we won't be investing in seed for 2022 planting that we'd have a tailwind from that activity, the conversion of all of our grain inventory to cash this year. That's all part of the cash projection we talked about. And then looking forward, because we'll be in a licensing model, obviously, the two variables then become relevant are receivables - of sales include expenses. And well, it's too soon to predict what the licensing receivables will look like. What we'll work to do obviously, is to get paid more than annually. If we were to be paid only annually, they would be very seasonal and probably in the first calendar quarter, but if we can work to get the royalties paid more frequently than that would be our objective, so too soon to tell. So that's how I would think about the receivables side of the working capital modeling and the others being liability side of the balance sheet would remain as it is in terms of how it is flowing today. Obviously, stripping all of the grain-related activity will create some noise in the near term, but it will, I guess, normalize as you get to the first quarter of next year, this time next year.
Daniel Rizzo: That's actually I appreciate [ph].
Bill Koschak: Maybe at the end of the year.
Daniel Rizzo: Guys, I really appreciate that color. And then, so with the grain sales this year to ADM, the other 50%, I was wondering how we should think about the cadence with that? Is that something that's going to happen over the next quarter or is it something that's going to be kind of evenly drawn out over the remainder of the year?
Bill Koschak: Our statements have been to have that flow over the course of the remainder of the year. We'll see what that looks like in terms of how it falls by quarter, but I think something along - over the remainder of the year is what you should stick to.
Daniel Rizzo: Right, thank you very much.
Yves Ribeill: Thank you.
Operator: [Operator Instructions] And Mr. Tyson, I'm showing no further questions on the phone lines.
Bill Koschak: Thank you. So this concludes our call today. I'd like to thank everybody for joining, and if we were not able to address your questions on today's call, please feel free to contact us or our Investor Relations firm, MZ Group, we would be happy to answer them. Operator?
Operator: Thank you. That does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines. Thank you, and have a great day.
Yves Ribeill: Thank you.